Operator: Good day, ladies and gentlemen. Welcome to the Q2 2019 Investors Call. I would now like to turn the meeting over to Ms. Aurora Davidson. Please go ahead.
Aurora Davidson: Thank you, Patrick. Welcome to the Second Quarter 2019 Investor Conference Call of Amerigo Resources. I am Aurora Davidson, Executive Vice President and Chief Financial Officer. Before we begin the presentation, let me caution you that our comments and discussions will include forward-looking information within the meaning of applicable securities legislation. Forward-looking information will include, among other things, forecasts and projections about our copper production for the year which involves known and unknown risks, and strategies and other factors that may cause actual results, performance or achievements to be materially different from such forecasts and projections. Therefore, although we believe that anticipated future results, performance or achievements expressed or implied by the forward-looking information are based on reasonable assumptions and expectations, you should not place undue reliance on such forward-looking information. We direct you to our press release issued on August 8, on our other documents filed with the securities authorities in Canada, including our annual information form under the heading Description of the Business Risk Factors. These documents describes the material factors and assumptions that were applied in drawing the conclusions and making the forecast and projections as reflected in the forward-looking information and the material factors that could cause actual results, performance or achievements to differ materially. Except as required by law, we undertake no obligation to update or revise any forward-looking information made in this presentation. Rob Henderson, the Company's President and Chief Executive Officer, will now provide an operational and corporate update.
Rob Henderson: Thank you, Aurora and thank you, everyone for joining the call. The first half of 2019 has been tough. MVC's lower production, principally from Cauquenes exacerbated by low copper prices resulted in a very poor financial performance and Amerigo's earnings for the second quarter of 2019 were negative $6.6 million. The Q2 copper production was low at 13.3 million pounds because the Cauquenes material will still being extracted from the same poor quality zone that affected Q1 2019 production. However, on July 6 MVC completed construction of the new Cauquenes 48 million level slump, and this new sump enables access to higher quality materials located at the bottom of the deposit. Over the last month has the grade has gone up by about 20%, that is from about 0.23% to 0.27% copper, and recovery has also gone up by about 20% from the low 30s to the high 30s. MVC are working on improving the tonnage delivered to the plant which has been impacted by wet weather in Chile and frequent power cuts. MVC is also operating it's new concentrate regrowing mill, best completing the Cauquenes Phase 2 expansion. The completion of these two projects will enable MVC to now focus on improving flotation recovery by a circuit modifications and re-agent optimizations. We do have a significant asset in Chile, and the book value of the plant at MVC is now over $200 million. Our partners continue to demonstrate support for us. Just yesterday, we received confirmation from El Teniente that MVC will be toll-treating high grade slag from this not the smelter stockpile for a period of 6 months. This is a mutually beneficial agreement to both partners and is an example of our good relationship with Cudlco [ph] and demonstrate that MVC has the assets and the skills to economically produce copper form mine waste material. The expectation is that MVC will process 1,200 times per day of slag at MVC's existing plant commencing in August. In order to accommodate processing of the slag material in MVC's plant, they will dedicate one of 8 mills to slag and will therefore forgo some production of copper from El Teniente's tailing while slag is being processed. The net result is we expect to receive additional tolling revenue this year and we maintain a proper guidance of 70 million to 75 million pounds. The other good news that we reported on Tuesday is that we have signed a mandate with our existing lender, Scotia Bank, to refinance our existing debt facility with the objective to reduce our short-term debt repayment obligations and provide us with more flexibility. We expect to close this facility in Q3 and Aurora will provide more detail on this. The bad news that copper price performance continues to disappoint despite strong in fundamental data supporting a copper price of over $3 a pound for the long-term. I'm not an economist with a crystal ball, and therefore rely on experts for advice on copper price full costs. What Mackenzie's latest quote is, "We still expect a strong the performance of the second half of 2019 which should support an annual average copper price of $3.04 to 2019. A return to above average mine supply growth of 3.1% after disruptions in 2020 will not be sufficient to offset slow demand expectations, and in 2020 there will be a deficit in the middle markets and with cathode stocks drawn to lows of just 59 days of consumption, prices are expected to trade sharply higher to reach an annual average peak of $3.65 pounds." So we remain optimistic but we are taking steps to keep our costs as low as possible. MVC's recorded copper price of the quarter was $2.67 per pound compared to $3.16 a pound a year ago. The $0.25 per pound drop in copper price from the previous quarter resulted in a negative settled adjustment of $3.2 million due to our industry terms we have enough on our concentrates. Aurora will give you some more color on that.  At today's copper price of $2.60 a pound; we expect to generate sufficient operating cash flow to meet our current liabilities. And in parts of this due to the fact that MVC's royalty obligations to El Teniente's decreased with a decrease in copper price. I will now hand over to Aurora Davidson to discuss the financials.
Aurora Davidson: Thank you, Rob. The second quarter of the year was indeed a challenging period. The combined effect of a low copper price and low production we filtered in a net quarterly loss of $6.6 million or $0.04 per share. In Q2 2019, Amerigo produced 13.3 million pounds of copper at a price of $2.60 per pound, a reduction of 10% in production and a reduction of 16% in copper price from Q2 2018. This resulted in a 30% reduction in copper revenue from $29.2 million to $20.5 million between the two comparative quarters. Molybdenum production decreased by 50% in Q2 2019 but we had 3% increase in molybdenum price; the overall decrease of 42% in molybdenum revenue went from $3.2 million to $2.2 million between the two comparative quarters. We always stress the sensitivity of MNC's financial results to copper prices, and the Q2 results confirm this point. Copper prices affective both in terms of the price-used-to-book sales for the period on a provisional price basis, and also for settlement adjustments which can be positive if copper price appreciates into 3 months following loss of sales or negative as the sale price drops. In Q2 2019 we booked $3.2 million in negative settlement adjustments to revenue compared to $600,000 of positive adjustment in Q2 2018. And this is provisional copper price in Q2, as Rob mentioned was $2.67. July's price was slightly higher at $2.69 per pound and today's price is $2.06. Shielding on production cost in Q2 2019 were $28.8 million from $27.2 million in Q2, 2018, an increase of $1.6 million or 6%. MVC's most significant costs are decreasing order, power, labor, grinding media, online. This will cost combined decreased by 3% or $400,000 in Q2 2019 compared to Q2, 2018. However, all other direct costs which include positive of processing maintenance free agent, etcetera, increased by $1.7 million in Q2 2019 due to accounting inventory adjustments of $1.6 million to account for the difference between production and sales in each quarter and the effect of the higher unit cost of production in 2019. The other components of patrolling and production costs are deprecation which increased by $700,000 in Q2 2019 as a result of a higher asset base at MVC following the Cauquenes phase 2 expansion. Administration which decreased by $200,000 and more link-up costs which increased by $240,000. Other expenses including corporate G&A were $1.2 million compared to $1.1 million in Q2 2018. With the increase of $150,000 resulting from higher share-based compensation expense of $250,000 in Q2 to 2019 compared to the prior quarter. Finance expenses was $1.5 million compared to $900,000 in Q2 2018, an increase of $600,000 of which half a response to difference in mark to market adjustments and MVC interest rates slot [ph], and there was a natural increase of $300,000 in interest expense of which $200,000 is coming from the new Molybdenum plant expansion. As a result of it's loss before income decision, in the last quarter the company posted an income tax recovery of $2.3 million compared to income tax expense of $1.1 million in Q2 2018. With respect to the cash flow; first the new user plan. In Q2 2019 the company used cash of $4.8 million to fund operations including finance expense which would classify as an operating eye-sham [ph]. Factor ending working capitals, net cash from operating activities in Q2 2019 was $3 million. The company used $2.9 million in the quarter to pay for capital expenditures and used $8.6 million in connection with debt repayments made at the end of the quarter. The company also received $330,000 from the exercise of stock options. The net decreasing cash in the quarter was $8.1 million. The company's balance sheet at quarter end showed a cash position of $8.4 million and current assets of over $24 million. A current source of stress in the company's balance sheet at the moment is the short term debt we carry. And I would like to take a few minutes to refresh what type of debt we have, why it's there and what changes we are looking at making in the near term. NBC financed the Cauquenes Phase 1 and Phase 2 expansions without any dilution to shareholders by taking 2 loans. Both of them with the same lenders. The lenders where originally BBVA Chile and Export Development Canada EDC. DVDA has since been acquired by Scotia bank so the loans are now with Scotia bank as lead bank and agent bank and with EDC. Each participating on a 50% basis. The first loan was taken in 2015 for the Phase 1 expansion and was for $64.4 million. The second loan was taken 2 years later in 2017 for the space expansion and was for $35.3 million. So in total both loans were $100 million. NBC has met all its scheduled bank payments to date and as of today the principal amount that's outstanding on both loans is $56.3 million. The remaining scheduled payments under the existing loans are semi-annual payment of $11.3 million each plus interest on December 30th and June 30th for 2.5 years with the final payment scheduled for December 30, 2021. This schedule is stressing the balance sheet as essentially $22.5 million with interest are shown as the current liability as they are scheduled to be paid in the next 12 months. When we say separation of stresses that affect cash generation such as what we have seen in the current year we feel we would all sleep better at night if we could push our near term debt maturities and that's when we approach our letters to discuss with a very positive response so far. On August 26 we issued a press release announcing NBC has executed defiance mandate agreement with Scotia bank as the lead bank to rearrange the repayment of NBC's existing debt in a way that pushes our near debt maturities immediately reducing the liquidity exposure and providing more flexibility to NBC and the company. In connection with the use of surplus cash while it remains under defiance agreement. Unfortunately, we cannot yet disclose the full terms and conditions that have been discussed with our lenders but the obvious variables in their discussion are our longer-term and a different amortization schedule. Discussions are progressing well with the lenders following a very similar process of discussion and approval as what occurred with the Phase 1 and Phase 2 loans. The end goal is to combine the 2 existing loans into a new loan essentially for the same amount but with a different longer-term and a more flexible repayment schedule. All of the conditions are expected to remain the same as we have in the existing loans and we currently expect to close this transaction in the current quarter. Rob and I will now take questions from call participants.
Operator: Thank you. We will now take questions from the telephone lines. [Operator Instructions] The first question is from Joseph Reagor form Las Vegas. Please, go ahead.
Joseph Reagor : Morning guys. Thanks for taking the questions. I guess, first thing for Aurora. Looking at the balance sheet the receivables balance is much lower than had been in the last 5 plus quarters. Any reason for that do you think you can keep it down at that level or should we expect a rebound there?
Aurora Davidson: A significant portion of the receivables has to do with our market to market adjustment on copper prices for 3 months. We received most of our receivables within the month or the following week of deliveries that we have to adjust with changes in copper prices. So when there's an uptick in the copper price you'll see a higher level so the answer to you is hopefully you'll see a higher level of receivables in September 30th.
Joseph Reagor : Okay fair enough. And then looking at the revenue. You guys reported revenue that tends to kind of get all over the place not just the pricing adjustments but a number of other factors and it seems like royalties and smelting charges were a higher percent of the base revenue numbers than normal. Can you talk a little bit more about what might have driven that?
Aurora Davidson:   A settlement -- sorry. Smelt and refinery costs are lower this year than last year so there shouldn't be any adjustment -- the numbers are all affected by settlement adjustments so we're trying to disclose that more clearly on our notes to the financial statements by including the line of adjustment to value settlement receivables. But there shouldn't be any variables other than the fact that sometimes production and delivery change from quarter to quarter and that has an effect on the computation of both royalty smelt and refinery costs. As Rob mentioned the lower the copper price the lower the loyalty factor. So it's very hard to have linear relationships between those items but in general turn, CCRCs are lower this year and we've always been affected by higher or lower royalty factors based and copper price.
Joseph Reagor : Okay and then on the 1,200 ton per day processing of slag just looking for a little bit more info there. How does your revenue work on that? Do you get paid on the copper you get out of it or is it a flat fee? When is it going to begin? You said 6 months of total time but like what's the exact timing and then will that be reported like separate from tailings or as part of tailings for your total copper production?
Rob Henderson: Hi, Joe. We've been talking to [indiscernible] for some time. We've done a lot of tests in the material and they gave us the green light to go ahead. So we do expect to start in August. Our mills are ready. We have a set of flotation's available and it's going to be a fee per ton processed. In terms of how we account for that. I think it's going to be very similar to what we did with [indiscernible] a couple of years ago with the total treatment so it will be separately listed.
Aurora Davidson: It will not have included as gross value of copper produced. We'll have a separate line just as we have for Molly revenue that we will call tolling revenue for -- slag tolling revenue or something to that effect.
Joseph Reagor: Okay. And then with the maintaining of the guidance then will you be counting the copper production from this against guidance or are you going to get the guidance without this 1,200 tons per day availability at the mill? Just so I understand that.
Rob Henderson: The 75 includes the slag copper that was going to be produced.
Joseph Reagor: All right it will count towards it. Okay, all right. Thanks, I'll turn it over.
Rob Henderson: Thank you, Joe.
Operator: Thank you. [Operator Instructions] The next question is from John Polcari from New York. Please go ahead.
John Polcari: Thank you. Good job on the difficult environment. Two questions basically. I wish -- looking at the debt reduction and perhaps I'm picking up the wrong number because the debt reduction was a little over $8 million, Aurora?
Aurora Davidson: It was and there was -- the reason -- it should have been $11.25 million plus interest. The bank didn't process part of their withdrawals on time on June 30th so we had about $3.2 million of debt repayment including interest that went through on July 2nd once they returned from the weekend. That was a bank processing error.
John Polcari: So the current balances is?
Aurora Davidson: The current debt balance is $56.2 million.
John Polcari: Right. And I'm picking -- this might the wrong. I am picking up for the prior quarter from Bloomberg $75.8 million.
Aurora Davidson: They're not updated.
John Polcari: Okay. That answers that. What is the expiration of the labor contract? I believe this October is it?
Aurora Davidson: October 16, 2019.
John Polcari: And that was a 4-year contract? 
Aurora Davidson: It was a 3-year's contract because those are the new provisions under the mutual land labor law. They used to be 5 years and since we renewed 3 years ago, we are renewing on a 3 year basis. 
John Polcari: So the new one will be the same turn? Has the negotiations started for the contract? 
Aurora Davidson: They are they are starting according to law two months ahead of the expiry date, so they will start the next week. 
John Polcari: Okay. And historically will we have acceptable labor relations, correct? 
Rob Henderson: Yes, we got -- we do have good labor relations and people that are working in MBC we have pretty long-term employees there, you know, having said that 3 years ago, we did have the 10 days strike. So the unions in Chile are still pretty active. They have been asking for signing bonuses so we're being pretty careful in telling them look the couple prices low financially [indiscernible] it's run down and has a good understanding of the situation but that's not necessarily logical that we won't have an easy settlement. We are going in prepared in this discussion with the unions. 
John Polcari: Prior contract had a modest signing bonus also I believe -- 
Rob Henderson: It did, it did. We settled for a signing bonus as most companies have done in Chile. 
John Polcari: And last question was on the power agreement, just to refresh my memory; I know it's a rather long term agreement now, what's the expiration again on the power agreement? 
Aurora Davidson: It's 2037 maybe.
Rob Henderson: It's that 2037 [ph]. That's right; it's more than a decade.
John Polcari: Terrific. And it covers what percentage of the total power needs? 
Rob Henderson: 100%, all of the percent. 
Aurora Davidson: It's 2032. 
John Polcari: Is that a fixed rate I believe or?
Rob Henderson: It is, it is indexed to you, essentially the fix is great but it's -- you know, we can sleep at night not worrying about spikes in the power like it has been done in the past. 
John Polcari: Right. And that is, I believe, at a low level of 9 or 10 or something like that? 
Rob Henderson: Right. 
John Polcari: Okay. Lastly, would you say you had a -- you feel optimistic about the closing the new financing by the end of the quarter, do you think it's at least a 50/50 chance you'll restructure successfully? 
Aurora Davidson: We are optimistic. 
John Polcari: Okay, very good. Thank you and once again, well done. 
Rob Henderson: Thank you, John.
Operator: Thank you. The next question is from Joseph Reagor from Las Vegas. Please go ahead.
Joseph Reagor: Just had a quick follow-up under tolling. Surely, you can't disclose how much you're charging for ton but can you give us an idea on how many tons per day you guys are doing under the prior contractor couple of years ago?
Rob Henderson: The prior contract with [inaudible] was a little bit different in that way they delivered inaudible copper consumery to us which we blamed the [inaudible]. The prices and cast was relatively small. What we have to do is we get the flag, we put it in the mill, we grind it and we produce flotation concentrate. So the chargers per ton were a lot higher than we had in the mirror Congo one. It is a charge protein that's independent of copper price so we're getting the revenue for every time we process, so it's guarantee form of income. 
Joseph Reagor: Okay. So I shouldn't use the old time tracker and indication of what this one might generate in revenue and is it fair to assume standard kind of tool million margin, dare I say, cost the industry of 20 to 40%? 
Rob Henderson: It is, yes. I mean will not -- when we're talking about the stairs again were talking about a charge for ton here so you know the copper contents has not a lot to do with it. So we've estimated what the costs are and we got a reasonable margin on those costs, so it's really not related to the copper content at all. It's more a margin on the ton, probably not typical to what you would read anywhere else. 
Joseph Reagor: Okay, thanks.
Rob Henderson: You know, there have been contracts in Chile and being a very similar toll treating slag has been done and other facilities, I mean, you might find examples of that. 
Joseph Reagor: Okay.
Operator: The next question is from Nick Toor [ph] from Las Vegas. Please go ahead.
Unidentified Analyst: Hi guys, a couple of questions. So I think -- but refresh my memory, correct copper prices of $2.60 and your fall prediction guidance around $80,000; what kind of EBITDA and GAAP flow do you guys generate? 
Rob Henderson: Nick, it's Rob here. The curves are complicated and we do have it in our corporate presentation because, you know, as a copper prices go down our [inaudible] goes down. So right now, what we have is our cash costs in the order of about 65, at 2-60 copper price. Our royalty is in the order of $0.53, so the 265 plus the 163 takes us, no I'm sorry the 165 plus 53 is in the order of 215, 218. So that covers all are base costs anything above 218, you're talking free cash flow at NBC. Some of that needs to go to debt repayment, corporate G&A is about $0.05 and sustaining CapEx is about $0.05 a pound. [Indiscernible] into 30 to cover all the base costs with the bank on top of that. As long as copper price is right about where it is right now, we can cover the bank, we can cover our sustaining G&A, we can cover anything else. So, you know, the free cash flow ability MVC is still pretty good. But we do have to consider our bank. And that's why we have been indiscretions with Scotia Bank in order to decrease some of that load, to give us a bit more flexibility with that cash flow from NBC. 
Unidentified Analyst: Right, right. That makes sense. But I guess based on your current, some might call it draught, copper price [indiscernible] you know 5x free cash flow and free cash flow equity roughly around 4x EBITDA.
Rob Henderson: I know, you know, that the company is very undervalued compared to the fundamentals. There is a close concern.
Unidentified Analyst: Yes. And I guess your [indiscernible] what roughly be less than 2x with the financing; so it seems like a no-brainer financing to me at least, I'm toneless, you know especially in this environment. But in terms of addressing the stock price do you have some ideas on you know what the management can do other than equity? Do you know bring the value of the stock closer to fair value compared to comparable companies especially considering that you don't have any of the risk associated mining and the CapEx is quite low. 
Rob Henderson: You're right. We are, we are having a -- we are a pure player on the copper price, so as we said before as the copper price goes up and I've seen it in the past, it's going to take about a $3 a pound copper price, we're doing [indiscernible] to start paying dividends, shares buy-back is also being talked about, you know, I think we will start doing that pretty soon as well. When we do have excess free cash flow when copper price goes up, that is what we intend to do to increase the share price our both dividends and share buy-back. 
Unidentified Analyst: Okay. I think that's just you know one possession I would have as you point out [indiscernible] instead of draught copper prices yielding 20% of your equity, the four to five times multiple, and how that compares to the comps who are, you now, at this copper prices being traded at the same valuations. Last question is, at this couple of prices, what percentage of the industry is sort of underwater? 
Rob Henderson: That's good question. Certainly there are a lot of guys on the margin smaller producers who are underwater right now and you know closing down Glencoe and the Congress shutdown their into me shutting down nickel copper mine. There are smaller producers in Chile shutting down. So as a percentage, I would say there's a percentage in terms of copper tarnish it's still pretty low but in terms of the number of companies I would say is getting quite high because you know the big guys, the Reatentos and the Gadelcos [ph] of the world have very good large assets with pretty low cost. You can carry on going until a quite low copper price, but it's the smaller companies who are exposed to Copper they are suffering right now and I would certainly expect to see the closures at today's copper price. 
Unidentified Analyst: Yes. I mean, I guess even if it's like 2% or 3% of the copper production, already the copper market is in deficit this year and expected to remain that next year even if it closes down to 3% because of these closures I mean is that sort of in the numbers when people talk about what deficit is going to be or people are assuming…
Rob Henderson: I don't believe this, I mean with McKenzie's last quite certainly didn't foresee 260 copper price and I don't think it was affected in that there will be drops in production. Over and above what they're saying right now I think the deficit is going to exacerbate the deficit for sure. Again as we seeing in the past in MVC she's been going for 27 years, they have survived low copper prices and we have to just go through this cycle and the answer to low copper prices is low copper prices. 
Unidentified Analyst: Yes. I mean, I guess I mean you're not just going to it, you're generating quite a bit of free cash flow, more than enough to say that. But I guess the I guess the question would be you know do you think considering the industry is in deficit and the copper demand seems to be quite steady, fact inaudible increased substantially their imports of copper in the last quarter. Do you think that this man that are in trouble are liquidating their inventories which is driving this car price lower Especially considering that the inventory levels are way below trend and globally inventory levels are quite low.
Rob Henderson: That's an interesting concept but I think typically small mines would have every bit of copper they had in the last 6 months. So I don't think the inaudible large Inventories of copper you know, waiting. Scraping the barrel for some time and when they close and it's just going to be with a whimper and not a bang. 
Unidentified Analyst: Got it. Okay, thanks guys. Great job. Looking forward to the next quarter, because certainly you know once you're heading in a good grade you start to see the [inaudible] of this company. 
Rob Henderson: Thanks, Nick.
Operator: Thank you. Your next question is from Jason Nelson from Washington. Please go ahead. 
Unidentified Analyst: Good afternoon, guys. Just a follow-up on next question and your commentary about the cash cost of operations. I thought initially when you guys begin forecasting and kind of [indiscernible] million pounds per year. Did the cash cost the production was going to be more in line with about a 40 [ph]. I think he just told Nick it was more like $1.60 and one is there a change to the production course that we should be noted that this time and two, if not then your true all-in sustaining costs before interest cost from financing that currently exists and the taxes is more like something just over $2 a pound to use $1.40 which I believe which I believe was the guidance inaudible over the year. Am I off somewhere?
Rob Henderson: The $2.60 is what we expect for this year and that – sorry, the $1.60, $1.65 is based on -- exactly, so we do expect to get back down to where we want to be, number for this year is artificially high because of our disastrous first half of the year, the costs have been a lot higher than we have expected so we do expect cash costs on a monthly basis to go back down, and the $1.65 is an average for the year which includes the horrible… 
Unidentified Analyst: Sure, yes. I think I just wanted to make sure that the call just in case there was any confusion, either on the line inaudible on a go forward basis, give or take a nickel or something you know it should be without contemplating the new potential labor contract next year that $1.40 per pound is still kind of [indiscernible] production costs. 
Rob Henderson: That is correct. 
Unidentified Analyst: Okay, alright. Thanks guys. 
Aurora Davidson: Yes. But the labor contract is not next year, it's this year Jason. 
Unidentified Analyst: Right. 
Rob Henderson: Pardon me.
Operator: Thank you. The next question is from John from New York. Please go ahead. 
Unidentified Analyst: One quick follow-up question; would I be correct in assuming that the new financing agreement would allow for dividends from the initiation of the agreement, if the copper prices at the right threshold, or would there have to be a certain amount of amortization first? 
Aurora Davidson: John, we are trying to preserve the existing terms and conditions in our current agreement. It's not tied up the copper prices it's basically tied to a to a debt service coverage ratio, so we would basically remain the same as what we currently have inaudible agreement.
Unidentified Analyst: Thank you. 
Operator: Thank you. And a reminder, you may press star one if you have a question. The next question is from Anthony Swan [ph] from Texas. Please go ahead. 
Unidentified Analyst: Good afternoon. Thanks for taking the question. I'd like to try to get a little more of color on the labor contract, the idea of getting back to 140 under cash cost, you now, in other words where do you see the labor contract assuming that you're going to have to do some increase and some signing bonuses. How much could that affect that price? 
Rob Henderson: We obviously have to speculate the negotiations are going to start next week. We have seen precedents before and Chile that there will be a signing bonus and we do expect a signing bonus. The magnitude of it, we really don't know, it truly is unknown to try and speculate on what day impact on cash costs is and I can't do it I don't know what the answer is. 
Aurora Davidson: Any impact would just be on a quarter on which the agreement is reached to because in respective of inaudible, it has to be booked, as a labor cost on the period of agreement has entered into. So it wouldn't be effective this year and wouldn't have any long-term implications. 
Rob Henderson: There normally is a small increase, but nothing more that we would typically project. There would be a normal small increase in a way, but the biggest number is by far the signing bonus and that is the most unknown.
Unidentified Analyst: Okay. And I guess what I'm trying to get it though is, you know like, of that dollar what percentage of that is labor and you know if the laborer comes up 5%, in another words is that a big deal or something that is taking a stride? 
Aurora Davidson: The last Labor sign bonus that we had in October 2015 had a marginal impact on cast in that quarter. We expect to reach something similar to date this year, as Rob said, we cannot speculate up to the quantum of that bonus, but we are cautiously optimistic that it will not have a substantial impact on labor cost in Q3-Q4 when we enter in that agreement. 
Unidentified Analyst: Well, that's good. And then backed the renegotiation of the debt and you think you can -- hopefully get that done in this quarter? 
Aurora Davidson: In the current quarter and Q3. 
Unidentified Analyst: Great. Because with what's going on in the world all the negative interest rates and whatnot, sooner the better. 
Aurora Davidson: It's a good time to do that. 
Unidentified Analyst: Absolutely. Alright, thank you. 
Operator: Thank you. There are no further questions registered at the time. I would like to turn it back to Miss Davidson. 
Aurora Davidson: Thank you very much. We thank the participants for the call for your continued interest and support of Amerigo, and we look forward to sharing better news with you on our conference call of Q3 this year. 
Operator: Thank you. The conference has now ended. Please disconnect your line and we thank you for your participation.